Sergio Gamez Martinez: Good morning, everyone. Thanks for joining to this Banco Santander 2020 Full Year Earnings Presentation. As every Q4 with full year presentation, we have today our Executive Chairman, Ana Botin who will address with the CEO, the performance of 2020 and the different regions and some of the countries' review. Then the Executive Chairman will make you know a disclosure on the progress on the transformation on the next step that will kick off from 2021 to conclude with medium-term outlook and key takeaways before jumping into the Q&A session. So with no further delays, Ana, please.
Ana Botin: So thank you, Sergio and good morning, everybody. And I want to start by saying that I hope you and your closed ones are safe and well. It's been a difficult year for everybody and all of us have lost colleagues and friends and so our thoughts are with everybody that has had that terrible experience. Without further ado, again, welcome to our 2020 presentation. We will cover the results for the year, we will give you our views for the medium-term and cover some of the strategic priorities that we will be focusing on for the next few years. [technical difficulty] sorry, cost of credit at 1.28% and slightly better than the improved guidance that we gave last quarter. And finally, we have continued to generate very strong growth in organic capital, reached 12.34% at the end of the year which is above our target range. We, in November 2020, paid a dividend of new shares equivalent to EUR0.10 per share and the Board of Directors' intention is to go back to the 40% to 50% as soon as we can. We are also proposing to our shareholders - end of March a EUR2.75 per share in cash against 2020 results. Jose Antonio will review that in more detail the full year results, but just to point out again, that we delivered a EUR5 billion underlying profit that's after a 50% increase in provisions due to COVID, with very good cost control as you can see, and net operating income in constant euros as I mentioned, which is up year-on-year. Again, these underlying results and provisions represent a prudent approach to the COVID related potential losses, which we have been guiding through the year. At the base of these strong underlying numbers is again our geographical and business diversification. It has shown its worth in previous crisis, again, in this one, we have delivered robust performance in the Americas. I want to point out that North America has been our best performing region, the best ordering profit performance in 2020, with growth in loyal customers based on increased collaboration between Mexico and the US. Importantly, in the US, we delivered $1.2 billion net profit, that's a statutory attributable profit and a growth in the underlying profit for the year. Europe, we are very much focused on transforming the business, what we call One Europe is a new operating model. We're very confident this will lead us to results that will be increasingly positive. We're basing our growth on in revenues at and an increase in productivity. And importantly, we have generated EUR1 billion net cost savings, excluding perimeter in the last two years. And South America remains the growth engine for the Group. We have delivered 19% RoTE but very importantly, operating income increased 5% on a year-on-year basis in Brazil, and loyal customers and customer loans grew at 9% and 15%. And finally, we're also increasingly diversified by businesses. You can see here, CIB, very strong numbers, wealth management, also and our Digital Consumer Bank which is the pro forma merger of Santander Consumer, Europe and Openbank, which is already 16% of the total revenues. I mentioned at the beginning that COVID has been a challenge for all of us at the personal level, we have very clear that our priority throughout and continues to be our people. This is the best way that we can take care of our customers. We have supported 6 million of our customers with moratoria, lending EUR1 billion per day to SMEs and corporate. We have also supported our communities in a very important way with EUR100 million across the Group in aid in different aspects and this is something which we are very keen, because we know that that is at the base of our success for the future. We're also during 2020 very focused on further embedding ESG across the bank. It's something which is at the base again of our aim and I define it as being a more responsible bank. We have continued supporting our customers in a transition to green. This is something which we are absolutely very focused on, EUR32.6 billion in green financing as you can see since 2019 and going green ourselves. So in 2020, we were net zero in our own operations and this is something we will continue going forward. We are promoting financial inclusion, especially in the Americas, we supported about EUR500 million credit to microentrepreneurs, and also supporting society through scholarships and our support for universities. Very importantly, we have continued to invest in our talent and also diversity, we are aiming to continue in this line. We are now close to 24% of women in leadership positions at very diverse Board in terms of nationalities backgrounds with 40% women on the Group Board. And again, based - at the base of all of our strategy is an increasingly strong culture, which we have defined as being simple, personal and fair. So after this introduction, I will pass over to Jose Antonio to give you a summary of both, the Group and the businesses in 2020. Jose Antonio?
Jose Antonio Alvarez: [technical difficulty] cost. So excluding then, total income remained stable as the decrease in activity on lower interest rates were offset by higher volumes, the lower cost of deposits and good performance in global businesses. We accelerate our cost reduction and we expect to keep on track in this year. As the result, net operating income in a very difficult year grew 2% year-on-year in constant euros, higher loan loss provisions due to the COVID crisis, with the cost of credit in line with our guidance during the year. All in all, underlying attributable profit reached the EUR5 billion as I already mentioned. We had a very positive fourth quarter, we improve our business activity and customer revenue reached its highest figure in the last eight quarters. Finally, we recorded in the year EUR13.9 billion negative net capital gains and provisions, following the EUR12.6 billion impairment we announced in June. The bank has recorded charges of EUR1.1 billion in the fourth quarter. These charges in the fourth quarter were mainly restructuring cost in Spain, but also in other countries in Europe due to the transformation process we are implementing to increase productivity and efficiency. In Europe we expect total restructuring costs in 2020 and 2021 of around EUR1.5 billion, and we expect savings of a EUR1 billion in 2021 and 2022. Going through the P&L along the main lines of the P&L, Q4 customer revenue continue to consolidate this upward trend, while trending towards the pre-COVID levels. 4% growth in NII versus Q3 with the highest NII in the last two years, mainly driven by Spain, UK and South America. Fee income grew 3% primarily backed up by South America, costs were up 4% in the quarter partly affected by seasonality labor agreements in Argentina and Brazil where are the main drivers and higher technology expenses, particularly in Mexico. As a result, net operating income decreased 3% quarter-on-quarter, but was 3% higher than in Q4 2019. Taking a more detailed look at the customer revenue, NII increased from higher lending and deposits volumes with more than offset the interest rate impact and negative regulatory impact in Brazil, particularly in Brazil and Poland. Net fee income was affected by the COVID crisis. In this environment, our strategy remains focus on increasing customer loyalty and growth in high value-added services and products. Very positive quarter for CIB and Wealth Management Insurance, together they represent 50% of the fee income of the bank. In costs, you see the trends, the figures speak to themselves, in Europe 6% decrease, in North America down - 2% down, mainly in the US 5% down, in South America costs increased 1% excluding Argentina due to the high inflation rate. We expect to continue to reducing costs and improving our efficiency ratio in 2021. Going to the cost of credit, the cost of credit stood in line with our expectations, Ana already mentioned the 1.28% increase in the year due to expected higher - expected macro scenario, the increase largely reflects the IFRS 9 forward-looking view based on potential macroeconomic scenarios and collective and individual assessment to COVID expected credit losses in these scenarios. However, the underlying trends in credit quality remains solid in 2020. NPL decreased 11 basis points. Coverage increased 8 percentage points, loan loss reserves increased EUR4 billion to more than EUR24 billion. By stage, we increased the Stage 1 EUR22 billion due to the increase in the loan book, Stage 2 EUR21 billion and the Stage 3 remaining [indiscernible] further speaks. This classification speaks about the quality trends, the underlying quality trends in the loan book. When it comes to moratoria standpoint, we got a - we were very productive in the moratoria. Some of them were offered by the bank to the customers. Some of other were mandatory by the different governments. At some point, we had 11 - EUR112 billion in moratoria. So the majority of this has expired and used just 3% of the expired moratoria are classified as Stage 3. 78% of the active moratoria that remain secured and 83% is concentrated in Europe, mainly in Portugal and in Spain. In Portugal, the government mandated extension of a moratoria till September. In Spain, longer initial terms and other countries almost 95% of the one you have in the stream expire in the coming month, also yesterday, the Spanish government took some actions to extend some moratoria for a specific sector having vulnerable people. When it comes to capital, the capital ratio reached 12.3% after increasing 36% in the quarter and 69 basis points in the year. The 104 basis points of organic generation partly offset by the impact of restructuring costs, corporate transactions and market performance. It also includes 9 basis points related to an accrual of 2020 dividend payments based on the limit established by ECB that allows a maximum payment of EUR2.75 per share. The fully loaded core equity tier 1 ratio was 11.89%. Tangible net asset value was EUR3.79 virtually stable since September that we took some restructuring costs charges as you had seen in the P&L. Going through the regions, and making some comments about the different regions and the main countries with the creation of One Europe we are accelerating our business transformation. To achieve with two main goals, achieve superior growth and there are more - and having a more efficient operating model. Regarding commercial activity, loans grew 4% boosted by SME and large corporation in Spain, mortgages in UK and SIB. Portugal rose the loan book 8%. Deposit increased 6% and mutual funds 5%. This growth is remarkable in Europe. Moving to results, underlying attributable profit amounted to EUR2.7 billion in 2020, 45% less than in 2019, affected by higher loan loss provisions in all markets. So other points I want to mention is, the cost increases well ahead of our schedule, where I commented before. The total income, net interest income remained flat but improving the later part of the year, partly driven by the recovery in commercial activity and consumer lending and improving the cost of funding. Before going into more detail into Santander, Spain and UK, I would like to highlight Santander Consumer Finance positive performance in the year, clearly outperforming the market, showing high resilience in results and our recovery in the second half of the year. In Q4, profit increased 14% compared with an already solid Q3. This is a business that clearly reflects the benefits of the diversification. And I will describe later our project in the ICO consumer loan in more detail. In Spain, we have been very active in supporting our customers, being very active with ICO funding, where we granted EUR31 billion since the state of the land was declared we have granted EUR100 billion to self-employed people on corporate. We may further progress in enhancing customer experience. We are escalating a Net Promoter Score in relation with our competitor. The volumes growth - grew - loans grew 5% and customer funds 4%. In the income statement, the profit for the year was EUR517 million, 60%, lower year-on-year. By line, the income fell basically due to the lower fee income in relation with the lockdowns we have had and also the reduced income from real estate stakes and smaller ALCO performance. Comparatively net interest income grew 1% driven by the positive performance in volumes, margin management and the positive contribution for TLTROs. We had another positive year in cost dropping 10%. Lastly, loan loss provisions doubled driven by the expected potential losses in our macro scenario arising from the pandemia and several qualitative assessments in the most vulnerable sectors. That said, that our portfolios credit quality remains solid. NPL decreased 71 basis points, our reserves remain at lower levels than pre-COVID provided the different support programs in place. They received EUR1.8 billion in December versus EUR3.7 billion in February, coverage increased 6 percentage points, loan loss reserves increased by EUR1 billion and the different stages, Stage I grew EUR16 billion and Stage II, EUR3 billion and Stage III a little bit less than EUR1 billion. Going into UK, our transformation program is gaining traction and beginning to show results. Volumes increased year-on-year, loans plus 3%, customer funds, plus 8%. 2020 profit as it cannot be other way was heavily affected by COVID-19 and regulatory changes particularly in relation with COVID drops we've got some one offset by better NII plus 2% and lower cost minus 6%. Profit fell year-on-year, but increased 18% quarter-on-quarter - continuing the recovery that began in Q3, thanks to the NII that increase NII due to an increase in the NIM by 11 basis points in the quarter due to lower funding costs obtained from book margin. Costs improves 3% minus 6% year-on-year. loan loss provisions have started to normalize in the year, cost of risk is relatively low, 28 basis points. Coverage increased by 11 percentage points, in constant euro Stage II increased by EUR6 billion and the Stage III plus EUR600 million. For 2021, we expect good operating performance based on lower funding costs and new business margins, improved productivity through our transformation program. The North America is the region that has delivered the best ordinary profit performance across the Group in 2012. For the Group, the volumes loans plus 4% and customer funds plus 19% profit just decreased just 3%, despite the pandemic related provisions driven by net operating income. Efficiency improved significantly By country, Santander US focus on preserving the strength of its balance sheet and a sustained improvement in profitability. Volume loans grew 6% and deposits grew 20%. Profit increased 4% year-on-year with a Chilean NII cost reduction minus 5%. And lower minority interest in the SCUSA. NPL ratio fell 16 basis points. We reinforced coverage plus 50 percentage points to 210 and constant euros at Stage II increased EUR3 billion and Stage III remain flat. In Mexico, the loan book remained flat, we had a spike at the middle of the year, and normalized afterward customer funds grew 14% particularly strong growth in demand deposits from individuals that grew 24%. Regarding the solid positive trends in revenue and net operating income, costs like 5% due to IT investments. NPL ratio increased 62 basis points and the coverage decreased 7 percentage points to 121%. In constant euro the Stage II increased for EUR2 billion and Stage II remain basically flat grew EUR200 million. South America, volumes gradually recovery - recovered during the second half of the year. loans grew 15% year-on-year and customer funds 18%, deposits particularly strong growth in deposits plus 30% in the region. The region was the main driver of the - like as Ana said, of the top line with higher revenues in all countries. Net operating income rose 5% as a result of the positive revenue and improvement cost to income. Full year 2020 underlying attributable profit fell just 4% due to COVID related provisions. NPL ratio fell 47 basis points and coverage increased 9 percentage points. By country, Brazil recorded an excellent year. I will explain later. In Chile, we're ranked number one in NPS with a record growth in current accounts plus 42%, full year of 2020 net operating income increased 4% boosted by higher NII and cost control. Argentina, Uruguay, Peru and Colombia achieved higher profits due to positive performance in revenue and efficiency improvement. Going to Brazil, Brazil economy performed better significantly better than expected. Santander has once again recorded an excellent year, both in terms of results and volumes. While we remain focused on capturing growth opportunities. Commercial activity in the second half of the year sit pre-COVID-19 levels, boosting revenue growth in the year and achieving double-digit increases in volumes. Loans grew 19% and customer funds, 16%. Full year 2020 net operating income increased 3% driven by Brazilian revenue and efficiency improvement and higher volumes offset the significant margin pressures on lower interest rates. Higher provisions with net credit quality indicators at very controlled levels. NPL ratio of 573 basis points, coverage increased by 13 percentage points. Underlying attributable profit decreased 5% return on tangible equity remain high at 19%. For 2021, we remain optimistic about machine focus on increasing our customer base, maximizing revenues across our business on settlements of maintaining high profitability level on volumes grow with a good asset quality and continue to gain market share in the most important segments in the country. Taking a look to the global business, corporate investment banking had an excellent year. We continued to support, we continue to support our customers increasing our market share. Income grew 15%, profit was 23% higher driven by 15% growth in the income I mentioned on 3% cost reduction. We grew double-digit in our core business particularly in global markets and global debt financing. In Q4, profit declined as improvement performance - the improved performance in NII and fee was broadly offset by lower trading gains due to CBA and lower volatility than in the third quarter and higher provisions related with COVID-19 on specific names. Wealth Management Insurance, business performed well in the year. The assets under management amounted to EUR370 billion in line with December 2019 in constant euros in the quarter growth was 4%. Total income - total fee income generated accounted for 31% of the Group's total. Underlying attributable was up 2%, thanks to 3% growth in revenues. In private banking, positive sales and business growth, fees grew 9% in Santander Asset Management and strong volume rebound on the loss in May and further progresses in our ESG study. Lastly in Insurance, underlying profit rose 18% is the main the main growth driver continues to be non-credit related business. And now I hand over to Ana to continue with the presentation.
Ana Botin: So thank you so much, Jose Antonio. Allow me now to say, first of all, again, that I am really proud of the progress we have made since 2014. I am excited about the opportunities ahead. And I would like to start by saying again, that our eight-month values remain the same as we've said for several years. They provide very strong foundations for the Santander more, while it's allowing us to deliver today. Our aim is to be the best open financial services platform by acting responsibly and earning the lasting loyalty of all our stakeholders. Just a few minutes to show you how we had delivered results following the strategy for a number of years, again, our key is on our approach to capital management discipline have been key. If you look back to the last six years, '14 to '19, of course, 2020 was an outlier. We have doubled profits, improved - sorry I hadn't put the - if we look back to our performance for the last six years, 2020 was a clear outlier, I just want to remind ourselves that we have doubled profits, improved our underlying return on tangible equity by more than 400 basis points in 11.8% in 2019, 12.34% today, very importantly, and I think these numbers show the transformation of our model. Our capital base has grown by EUR29 billion, that's a 70% increase, with only a 13% increase in RWAs, again, testament to a radical change in the model which we'll continue into the future. And that's what gives us confidence again for the next few years. If we look ahead, we will continue following the strategy which has served us well, allocating resources efficiently, focusing on the profitable growth, which makes us very different from many of our peers and, of course, shareholder value creation. We will continue to grow our RoRWA organically. Again, most of this growth will continue from our businesses in the Americas, in terms of segments we'll continue to invest and expand on our fee-based and capital-light businesses, corporate investment banking, wealth management and payments through PagoNxt. And, of course, the Digital Consumer Bank, which is as I will explain again in a few minutes, the pro forma merger of Santander Consumer and Openbank. This should lead us to growth in earnings per share and tangible NAV per share, which in turn would underpin cash dividend growth, bringing us to the path of the 40% to 50% cash payout as soon as regulators allow us. To capture organic profitable growth, we will continue to invest in the higher return on capital-light geographies and businesses. We have made progress again in 2020 in accretive capital rebalancing, first by reweighting our capital to these more profitable geographies, mainly the Americas, to higher return on capital-light businesses, CIB, Wealth Management, Insurance and Payments. We have been setting minimum profitability thresholds in all segments. Also and very, very important, we have a lot of focus on faster asset rotation. And we have aligned top management remuneration with these profitability goals. As a result in 2020, this is an important number in what has been, again, a difficult year, about 40% of our capital has delivered double-digit underlying return on tangible equity. So as we look to the Santander of tomorrow, we have three priorities for this profitable growth. There is no doubt that our industry is going to continue to be challenging, even in a post-COVID world, low interest rates, increasing competition. But we have very clear three strategic priorities to build on our foundations, including the One Santander, a new operating model, second, PagoNxt and third, the Digital Consumer Bank. Again, think of this of further leveraging our scale and using technology to strengthen customers' loyalty, but also to access new fee-based revenue pools. I will go now through each one of these. So what do we mean when we say One Santander? What we're really saying is that, we are aiming to create a much better bank for our customers to drive growth, to drive profitable growth. We have made huge progress in the last few years. I just shared with you the numbers of these five, six years, which show that, but we want to accelerate this transformation. We created the regions, now with One Santander, we are redefining again our operating model. We want to make sure that we can leverage 147 million customers and also based on clear principles. The first one is simplify. It's the key word here, simplify our mass market value proposition, redefine how we interact with our customers and further leverage the capacity we have across Europe and then across the Group to build together and create a common model to share processes and do this across markets. This is not just in the One Europe, we are doing that across the Americas and this is what will allow us to reach top NPS - top three NPS and 9 countries over 50% of total sales will be digital and to further reduce our efficiency ratio, improve our efficiency ratio to about 40%. We will follow very clear milestones as we execute along these three priorities. If I turn first to the One Europe, the One Europe goal is to go to 10% to 12% underlying return on tangible equity and an efficiency ratio of 45%. We will work across all regions, but especially in Europe to leverage the payments platform, the PagoNxt Global Solutions that I have referred to. In North America, continued focus on collaboration between the two countries, we are seeing 30% increase in revenues in 2020 in areas like Commercial Banking and CIB and targeting 11% to 13% return on tangible equity and 40% efficiency in the medium-term. South America, we're expanding Getnet and Superdigital to other countries. We did announce yesterday afternoon in Brazil, the listing of Getnet Brazil, I will comment on that later. And our aim is to deliver an underlying return on tangible equity of 19% to 21%, compared to the 18% for the region this year, and 35% efficiency. So allow me to turn to the second priority, which is PagoNxt. PagoNxt is a global payments company where we're bringing together different assets across the Group. Initially, it's going to focus very much on two segments. First is the merchant acquiring and second, the SMEs, but we'll also be looking to the consumer segment. Payments is not a new strategy, it's not a new priority. Payments has always been at the core of our loyalty strategy. And this is what allows us to earn the loyalty of our customers. Santander has the scale to become one of the top global payment platforms in the world. Merchant acquiring is a global revenue pool of EUR80 billion. It's a fast-growing market, especially on the e-commerce globally growing at 11%. International trade, again, a global revenue pool of EUR350 billion also growing globally. We already have significant scale in these businesses. So we have a very strong starting point. In merchant acquiring, for example, we have more than a million active merchants and business customers and EUR60 million active credit and debit and trade we will leverage are more than 4 million SME customers. This is probably one of the biggest in the banking world, and over 200,000 SMEs that are trading internationally. Think of PagoNxt as the backbone, the technology backbone that will allow our banks, the One Santander to leverage our scale, to really have 147 million customers in one place with common products. This is what PagoNxt is aiming for. And to build those products that are essential to our customers, most important to our customers will allow us to grow faster, but very importantly, to deliver a better customer experience. The aim is that this be a single autonomous company and will probably be one of the largest private FinTech companies in the world. Again, we announced yesterday, the listing during 2021 of Getnet Brazil, so you can have much better visibility about all these revenues that are high growth revenues inside our business. So I already mentioned focus on merchant and trade solutions. I just want to point out here that this is not starting from scratch. And these are just two examples, where we are building our own software, our own solutions. And this is Brazil and Spain, where, as you can see here, market share growing from 12% to 15% in Brazil, in Spain, from 12% to 17%, growing at 40%, where we also bought back our acquiring state from Elavon. So again, we believe we can build better solutions ourselves. We have the scale and we have proven it works. We are now going to bring all of these together and we will bring together Getnet Brazil with our Getnet global platform with Wirecard, with SEMs in a single company for acquiring. Our vision on the trade side is to deliver fast and efficient trade finance, supply chain and FX payments. Again, this is not starting from scratch. We've made significant investments in progress. We already have 300,000 customers on boarded into what is a global platform, and Ebury is at the heart of the straight strategy. Ebury has generated more than GBP100 million in net revenues, 270,000 transactions even in a challenging environment, they have grown the number of transactions per customer and growing about 3% on the year. Another of the key assets for trade is the Payments Hub. Again, this is an internal development, it went live and became the main separate provider for Ebury last quarter. In December 2020, our Payments Hub processed over EUR30 million in incoming payments. We've reached agreements to become the main payments engine for all our corporate bank in London, Paris, Milan, Frankfurt, Hong Kong, New York. It is already servicing third-parties outside Santander. And finally Mercury is the platform that has allowed us to finance EUR6.6 million, of which, 60% of the trades were done digitally. Again, more than 7,000 customers have already been on boarded. And just interesting fact is that, in 2020, many of these imports were related to medical supplies. So the third priority, the way Santander is going to become an open financial services platform, how we're going to grow and every time and I'm sure I'll get a question from you, in terms of are we going to M&A? Well we do not need to do banking M&A. We aim to grow in new markets through our Digital Consumer Bank. This is the pro forma merger of Santander Consumer in Europe and Openbank. Openbank is the first European Bank running fully under cloud approved end-to-end by the ECB, we are very confident that this is a strategy that will deliver great results. The reason for that is that Openbank includes already very successful strategy in terms of cross selling, but as you can see here, we are going to merge that with a very significant consumer operation. So, Santander Consumer brings 55,000 Merchant, POS, Openbank, 1.2 million customers, 6 million new consumers per year and 15 markets in the case of Santander Consumer, and also the Santander Auto where we are servicing 75,000 dealers and with a very high quality and growth franchise. We are aiming that the Digital Consumer Bank will run on a digital banking API model, a SaaS model. And this is crucial as it will allow us to fully leverage the data for both sides of the business and generate growth, but also fundamentally change the way we operate our consumer business. This would lead and this is the ambition to grow revenues and double PAT in the medium-term, reaching 15% underlying return on tangible. This is something which will take a few years but it's really a new paradigm. We will be using common apps, single streamlined operating model, simplified license. We have already started on this as we launched Openbank in Germany, Holland and Portugal and a very different way of running the business. It will enable new auto consumer lending, but also new products to the consumer customers. I want to point out and Jose Antonio gave some facts, Santander Consumer Finance in 2020 and this goes back to the diversification delivered 3% revenue growth in a very challenging year, 12.5% underlying return on tangible in 2020. As I said, our ambition is now bigger we aim for 39% efficiency and 15% underlying returns. We have painted this as a flywheel, because I think this is the best way to picture how the combination of these two businesses is going to really power growth. It's a virtuous circle. And if you start what we have built over the years, our significant customer base at the top through 23,000 merchants. They offer consumer financing at checkout to customers, merchants go from large to small across industries, many started as an offline, but now are adding online capabilities. And of course, we have a very fast growth in online-only businesses. This generates about 4.5 million contracts. We actually already have 700,000 digital customers. And we're now expanding to other sectors such as telecom and education. These new digital customers are a target for other lending products, insurance, we believe there are significant growth opportunity for both our lending and our digital banking services. And of course, this gives us significant data at the point of the first transaction, which gives us very valuable insights into these customer's current and future financial needs. Then these new customers are candidates for other banking products through Openbank. These are one click signups even for a loan, one click. New current account customers, of course generate new deposits this are loyalty strategy provide in turn low funding for lending. I mentioned already that our Digital Bank averages 4.5 products per customer. But let me say also that in 2020, we grew by more than 100% new customers year-on-year. Again, the API services in turn attract new merchants, in turn add new customers, again, the flywheel spins grading data depth and insights, and of course, revenue growth. So just to end, wanted to reiterate that based on the latest IMF, OECD outlook, our goals are cost income ratio below 47% for 2021, cost of credit trending downwards from 12.8%, 9% to 10%, underlying return on tangible. For the medium-term, mid single-digit revenue growth, in constant euros, best-in-class NPS. Again, this is the goal for the new operational model. And we want to reiterate, the following goals that we communicated in 2019 of 13% to 15% underlying return on tangible equity, 11% to 12% CET1. And the Board's intention to restore the payout of 40% to 50% on underlying. So in summary, we have delivered in 2020, again, strong underlying results that show their resiliency of our model. Diversification again has proved that it has value, it has delivered robust performance in the Americas, solid growth in our global businesses, providing balance against a more challenging environment in Europe, robust credit quality, deteriorating by just 28 basis points, thanks to active rate risk management, we have continued to build organic capital reaching the 12.34% above our target, we have a strong capital position, we are comfortable with these current capital levels and buffers. And especially we're well placed to continue allocating capital to the internal significant opportunities for profitable growth to create value. And we have a clear strategy going forward for 2021 that I just reviewed, which gives us a high degree of confidence that we will deliver on our medium-term goals. So thank you again, very much and we are now available for questions.
Sergio Gamez Martinez: Yes, indeed, thank you, Ana, Jose Antonio. please now we have time for Q&A. So go ahead. We can go ahead with the Q&A session.
Operator: Thank you very much. Ladies and gentlemen, the Q&A session starts now. [Operator Instructions] Thank you. Your first question comes from Jernej Omahen from Goldman Sachs. Please go ahead.
Jernej Omahen: Yes. Good - first of all, good morning from my side. I'm just going to ask two questions, please. The first one is on the return on tangible equity target, and how that could translate into tangible book value per share growth. I guess we've seen Santander records, you know, considering the circumstances, high levels of underlying profitability, but the tangible book value per share went backwards this year for reasons that we're all familiar with. I mean, what gives you the confidence that if you meet the targets that you've set yourself for this year, that they will translate into tangible book value per share growth as well? And then the second question I have is on the EBA stress tests, they've announced the underlying assumptions for these tests and some of them seem to be very, very severe just forecasting a perpetual recession pretty much. And I was wondering to what extent, if at all, do you expect the results of the tests to drive the supervisory decisions around capital return dividends, buybacks, et cetera? Thank you very much.
Ana Botin: So thank you so much. So in, you know, this year tangible NAV, as you've seen and you said it, you know, has been very affected by exchange rates. We're working very hard on continuing and accelerating the change in the model, which we have really done a lot of that in the last five, six years. At the end, it's about reallocating capital to profitable growth, first, second, ensuring diversification, you know, US has been - has given us a very good return in dollars, and we need to ensure a proper balance between higher volatility currencies and the more let's say, stable currencies like the dollar and the euro. I say this, you know, maybe the pound also. So that is really the main way we are planning to improve the tangible NAV, continuous capital reallocation to the higher growth and profitability and throwing the balance and diversification through the cycle. If we look at the 13% to 15%, medium-term target, I can say, first, it's based on revenue growth. So we are saying middle - mid single-digit revenue growth at the basis of that. If we look at the shorter-term in terms of '21, we're looking to volume growth based on volumes, especially in the Americas, we are looking at positive assets repricing, we're looking at delivering half of the EUR1 billions or EUR500 million additional reduction in costs in Europe, and the cost of credit that trends downwards. So again, really doing everything we've done this year, but just doing it a bit more in a bit better for '21. And for the medium-term, focusing on these three priorities like this year, we have already seen I think Jose Antonio mentioned that it's not just the corporate investment bank and wealth management, which are now close to 40%. Again, these are higher - let's say, higher return on capital businesses, but acquiring and payment through PagoNxt should also help us a lot on this change in the model. On the EPA stress test. Yeah, there are some issues there that maybe Jose Antonio wants to comment. However, we feel that our capital buffers and our diversification, the fact that our pre-provision profit this year, which is around EUR24 billion, we could double provisions of 2020 and still not eat into capital, the buffers, we have even after that of EUR17 billion, EUR18 billion, you know, all of that gives us confidence that whatever happens with a stress test, which I don't know, you're going to give some details on, there are some issues in the stress test that mean that we might be penalized, but I don't know how you want to -
Jose Antonio Alvarez: Well, as you know, you're in the stress test, we've been performing very well, we are a top performer there. Our capital depletion was lower than our conservation buffer. So and while we will have B2C on top of this, yeah. So we expect - do expect to continue to perform well there are the synergies are more severe. And there are two issues that we've been raising over the time, that particularly affect emerging market exposure like our case that is the static balance sheet that is probably as you know that in emerging markets loan books particularly very short run and in one year or two due to the - you renew the whole balance sheet and but is what it is. And the second one that is new, somehow new is the provisions on the emerging markets are not allowed to depreciate with the depreciation of the currency that, well, technically speaking is not very natural, but is what it is. Having said that, we continue to expect during our diversification and the resilience of our business model, the stronger - we have the stronger pre-provision profit in the industry. We continue to perform well on our capital depletion new model that was in the industry.
Ana Botin: Yeah, if I may add just another for context, we have had in 10 years probably two of the biggest global crisis that have happened in decades. And just to understand the stability in our model, if we look at our performance in underlying profit in 2020, about EUR5 billion that's more than double what we had at the low point in 2008 and in 2013, in the 2008 crisis, again, it shows that we've made a lot of progress. And of course, this with 70% more capital than we had then. So, again, the stability in our earnings, diversification and how we perform under stress, I think is evident from what we have done in two global crises so far.
Sergio Gamez Martinez: Thanks, Jernej. Next question, please.
Operator: Thank you. Your next question comes from Ignacio Ulargui from Exane BNP Paribas. Please go ahead.
Ignacio Ulargui: Hi, good morning, everyone and thanks for taking the questions. I just have two questions. And one is on the Fiat strategy and just wanted to get a bit of your thoughts on how do you see these sort of like new business additions on Payment, Wealth Management or Investment Banking Pools to be or having to make a bit more dynamic performance on fees? I mean I do see a very clear tailwind from the bit of the unwinding of the one-year to three-year strategy in terms of funding costs and that is being very visible in NII in the UK also in the Spain so I mean, just want to get a bit of your thoughts on how do you see fees into the next couple of years? And I mean, what is the relevance of the Payments business on that process? And also, second question is on the Brazilian business, and what has been a very good performance much better level we expected at the beginning of the year in this pandemic. I mean, which levers do you plan to take you're still continue improving the contribution of the country to the Group? Thanks.
Ana Botin: So you know, the growth in fees would continue to come from CIB Wealth Management of course, also, Retail is incredibly important, Insurance. So One Europe strategy, but also in the Americas, retail fees are also a big driver. It is clear that there's still uncertainty over the next few months. So we could have in the first half, not a great performance in fees, that's yet something which will depend a lot on the health situation. But what we have seen is that, once and we see that in the second half of the year, that once things open up a bit, the performance is much better. On the Payments, you'll see, again, with the listing of Getnet Brazil, just a flavor of what we can do in this space. The key thing here is that, we already have performed incredibly well in acquiring in Brazil or Spain within a couple of years of having our own, let's say, Payments factory, once we extend this to other countries. You asked about the timing, that's always difficult, but I would say a few years, we've said medium-term, you should see a very significant increase coming from these areas. You want to answer on Brazil, I mean, Brazil, I think it's every time in Brazil, we have a crisis. There's always uncertainty as to the performance, but it has actually has done a very good job. And again, remember that Brazil has historically low rates. So we now have a bit steeper interest rate curve which is also positive. And we are looking to growth in volumes and positive assets repricing for, I think I said that already for 2021 and cost of risk trending downward, in general, in all our geographies once more than others and it could be variations there. But I think that's really the picture for Brazil. And of course, the lower rates mean that that helps customers, you know, pay - for Payments and good performance I think as they exit moratoriums. Is that roughly -
Jose Antonio Alvarez: Yeah, is basically we rely on volumes with expect to be growing double-digit in Brazil, as we did in 2020. So, this is probably the main lever, margins more stable than the ones we had in 2020. In 2020, remember about that we have the regulatory impact of the, what they call their personal check that this kind of overdraft that affect significantly their NIM and NII. Well at the end the driver is market share gains and our capacity to keep growing the number of customers, you see the number of customers in the country had been booming in the last three, four, five years. Yeah. So and we are still there. Ana already mentioned Getnet, but Getnet is an example, we can go do all the Auto Finance, where our market share is 25%, you can go to our Agro business where we went from 2% market share to 9% market share and we keep counting in corporate wall, our cost or risk went down, in CIB we're a market leader. So while the franchise has very good momentum and we expect to continue these trends.
Sergio Gamez Martinez: Thanks, Ignacio. Next question, please.
Operator: Thank you. The next question comes from Ignacio Cerezo from UBS. Please go ahead.
Ignacio Cerezo: Yeah. Hi, good morning and thank you for the presentation. Two questions for me. The first one, if you can clarify or give us some colors around regulatory headwinds on capital in '21 and '22? And the second question is on the US business, obviously, the cost of risk performance has been very positive in the year again much lower than could be anticipated probably at the beginning of the year. There's a new stimulus plan come in with probably the possibility of cash and checks actually being handed again to customers. Do we have to still expect an increase of provisions in peers in particular? Or do you think the level of provisions in 2020 sustainable for the future? Thank you?
Ana Botin: So let me answer the US and then I'll pass over to you, Jose Antonio. So in terms of the US, we have been reviewing this in line with the peers that have presented results, we're very much aligned with our peers, regional and even the large banks, if we compare likes-for-likes in term of portfolios, we believe we're being prudent provisioning. So, you know, I would expect that to continue into 2021. The stimulus is going to be obviously very important for this. And so there's really nothing there, which should be out of line with the rest of our peers. Again, if you compare portfolios of the same type of segments, I mean, some of the larger banks have more C&I than we do. And that's why you've seen some reversals, that is not the case for us. And in terms of the consumer lender, again, we're in the range of our peers, but it had - it has performed very well, we believe that will continue to be the case into 2021. In terms of - do you want to answer the other question?
Jose Antonio Alvarez: Yeah. In terms of capital regulatory headwinds in 2020, we were the impact of the different regulatory changes were around lately about 40 basis points in 2021. We - as you mentioned 2021 and 2022. Well in 2021 that I have more visibility we still continue to see some impacts coming from basically all the team review of the models, low default portfolios, all these issues that probably will come difficult to say always when you face this, but we expect to lower the impact on the one we've had in 2020, that I remember was slightly about 40 basis points. And in 2022, while probably the trend is downwards, clearly, we spent [RoRWA] [ph] team goals, and all the review of the models and all these things will capture significant risk-weighted asset reduction in some models that we are building.
Sergio Gamez Martinez: Thanks, Ignacio. Next question, please.
Operator: Thank you. Your next question comes from Francisco Riquel from Alantra. Please go ahead.
Francisco Riquel: Yes, and thank you for taking my questions. And first one, I wonder if you can comment a bit more on the Getnet listing in Brazil, if you plan to offload more assets from PagoNxt into this unit. And what are your ambitions with this listing if you plan to eventually monetize this asset term or not? And the second question is a follow-up on the US business that you guys mentioned operationally, I wonder if you can update strategically your views about the US and Retail business. I have also seen that you have frontloaded some restructuring expenses if you can also comment on this of cost cutting plans here? Thank you.
Ana Botin: So at the moment, we have just announced the listing of Getnet Brazil. This is not selling of shares, it's just a listing of Getnet Brazil. We are, as I explained on PagoNxt, we'll be giving more information during the course of 2021. The goal is that PagoNxt include three types of businesses, but really mainly two, one is acquiring business where we will be bringing together Getnet Brazil with Getnet mobile platform and eventually Wirecard, which we closed just a few days ago and SEMs. So that would be a global merchant acquirer eventually, but Getnet it's about a listing. In terms of the trade, it's also going to be part of PagoNxt. So there we have Ebury, Mercury, The Payments Hub and probably other products related to trade. So we have all of that in a global platform. We believe that is a very interesting business. It's a high growth business in payments related activities. In some cases, we're already given service to third-parties like in The Payments Hub. So that is really the goal with PagoNxt and Getnet.
Jose Antonio Alvarez: Well, the second question about the US is strategy on the -
Ana Botin: Yeah, the US.
Jose Antonio Alvarez: And I may take the cost cutting in the US, we're going to continue to naturally to improve efficiency in the US. Well, we have two angles there, they are probably there's more efficiency gains to making in the bank while SCUSA is growing, and probably the costs will go up. Overall in the US, I would say the costs going forward will be quite flattish, yeah. in the whole US, but not a specific restructuring cost and the way we are doing in Europe. Now, this is not in our vision for 20 - our plans for 2021.
Ana Botin: Yeah, in terms of the strategic view of the US. First is that the US market is the best risk return market probably in the world, aside from being large and a source of talent and innovation, institutional stability, there are strong and increasing connections to not just to LatAm, but to Europe. And what's very important is that both Santander Consumer and SBNA are working increasingly together a lot of the origination in Santander Consumer is financed by SBNA. So you know, we look at the US as a country, not as pieces of a different business, this is not different, by the way, what - to what we do in Brazil or Europe. And again, this year, it has - we have had some positive one-offs, but even in constant currency, we have had an increase in profit from the US. And the adjusted returns once we adjust for excess capital, which will not be there forever, actually add even a bit above the cost of equity, depending how you see that of 8.5%. So there are no plans to sell the business. And we are working as in the One Europe with increasing connectivity, not just in terms of working with customers across different Santander countries. Again, I think I mentioned in corporate investment bank and commercial we have seen 30% increases year-on-year, but also in building together. And so this is incredibly important. It was not an option a few years ago, today, you can leverage the same way you can build for Poland, UK and Spain, you can build for Mexico, US and you know, eventually why not Brazil or Europe. So this is really the very different approach to the management of the business, which is what we're calling the One Santander new operating model. So again, we are very focused on growing in a profitable way and building on the foundations of the last few years.
Sergio Gamez Martinez: Thanks, Franco. Next question, please.
Operator: Your next question comes from Carlos Cobo from Societe Generale. Please go ahead.
Carlos Cobo: Hello. Thank you very much for the presentation and the extra detail on your vision for the future. Going a little bit back to the numbers of the quarter. Could you touch on the regulatory impact for 2021 again? Sorry to insist, and you said below the 40 basis points in 2020. The last guidance that I had was an impact of 10 basis points to 15 basis points in 2021. Are you still comfortable with that or there is some room for slightly higher impact just to fine-tune the model? And then two quick questions are more strategic. If Payments a global business, and that's how you presented, why listing the Brazilian subsidiary? Just for me to understand, why starting that why not been more global in the distance? And the second question would be on COVID losses. Could you try to help us to gain a little bit more confidence on what's the vision or the outlook for 2022? What's the scenario of defaults that you'll cover for 2022? Because we thought the regulatory forehands and the support from the Stage rolling over the grace period from capital amortization. And on the restructuring of credits, we don't really have any visibility. It doesn't feel like 2021 is the year to see the big increase in MPLs. So what's the scenario that you have for 2022, where we should assume further progress in the cost of risk reduction? What's the percentage of total say, Stage II loans you expect to default? And how much of that has been covered already? Thank you very much.
Ana Botin: So I will take the strategic ones and then I will - you can answer the capital and COVID. But in terms of the Getnet listing in Brazil, this is the first step. The reason for that is exactly that what you said was, the goal is to create a global platform, which would be, let's say, parallel to the banks. So think about the One Santander, the banks, as owning customer relationships, think about PagoNxt as a global platform for acquiring, which provides the backbone, let's say, product factory for payments. This is really how we think about it. And so this is just the first step to create that global acquiring platform, which would allow us to add value to, you know, do not just do payments, our vision is that payments will happen, we will not actually do payments, but they will be the cornerstone of value-added services. So again, it's not about a processing business. It's about a value-added services business to our customers, built, of course, on the - eventually on the processing, but it's more than that. And to do that we actually need to have it all together, you know, outside of our listed banks, but also out outside our non-listed banks. And I hope that answers the question. We are - we will be giving more information and adding to this during 2021 and a lot more a year from now. Again, these are assets we have been building individually for the last five years. We have shown the work and now we want to make sure we take it to the next level. We have been rightly so challenged by investors and analysts, you guys, why do you not work better across countries? Well, we have done that in CIB, in Wealth Management, we are now going to do that for mass market and SMEs. So think of PagoNxt and our Payments businesses as providing a global platform where we can truly leverage the 147 million customers that we have in Retail, that we have in SMEs 4 million of them that we have in merchants. And again, we'll provide further clarity, but this is really the division. So I think the second question was again on the regulatory headwinds, I believe for 2021 and COVID losses.
Jose Antonio Alvarez: Yeah, the first one, 2021, while I already elaborated on the regulatory capital impacting 2021, that we expect to be lower than the one in 2020. The main impact comes from the team and from the models. And well we expect like two stages, the first stage is to go up and to have an impact in 2021 and the second stage, once we get more models get approved. Remember, that we still have significant amount of our portfolio under the standard models and some older models, our risk weighting is higher than our competitors. And at some point, we will come back with this for - in the medium-term. So in the short run, the numbers I gave you is lower impact in 2020. In the medium-term, we expect some positives from this side probably to split this, IR can talk to you in the small numbers and in more detail on this. On the COVID losses, if I understood you well, you're asking about 2022. Okay, so we guide you in 2021 to, this is an area natural is an area of uncertainty and everything is based on models, we'll still have the health crisis going on. What do we expect with, as Ana I mentioned before, we are working with kind of IMF scenario? So with this scenario we expect this year, the cost of risk to go down from the 12.8% we had and start the convergence to over the 1%. In 2022, I don't have any reason to think if we were right in anticipating our scenarios in the IFRS 9 forward-looking we built EUR4 billion of capital provisions that till now we are - in our balance sheet that we expect this to cover the majority, if not all the losses that arise from this. Can we be wrong in the scenario, maybe more negative or more positive, but we are relatively are comfortable with this. And we even the quarter we keep reviewing our scenarios, our portfolios and building provisions accordingly with a conservative and prudent approach. And I do think from the 12.8%, I will bet on, reducing in '21 and reducing again in 2022. So this will be my initial expectation.
Sergio Gamez Martinez: Thanks, Carlos. Next question, please.
Operator: Thank you. Your next question comes from Alvaro Serrano from Morgan Stanley. Please go ahead.
Alvaro Serrano: Hello, good morning. I've got a couple of questions I guess on capital allocation. The first one, hopefully the capital build journey is now over. When I think about going forward, it sounds like clearly emphasis of growth is still Americas, but it sounds like a bit more balanced than previously. If I think about the PagoNxt, the Digital and the Consumer Bank initiatives, obviously, again, there was a tremendous success, because basically you returned back to your natural market share with the acquisitions like Wirecard in Germany and the push to become a global payments platform. So how should we think about you achieving sort of growth outside your natural footprint? What gives you that confidence? And second on Openbank and Consumer Bank? You're into double profits? I think it is which is quite, I mean, it feels ambitious. Maybe you can talk us through which regions do you expect to grow the most then? And again, it is - some of it is outside your natural sort of footprint like Germany where you've got the Consumer Bank there, clearly, but what are the growth sources were in the region there? And the second question also is more sector level, it's around, obviously, the sector, the inability to distribute, is accumulating capital, not just for you, but across Europe. And I would love to hear your thoughts and do you think this is going to have long lasting effects in terms of competition? Do you think it can trigger sort of M&A and even cross border M&A? And in that sort of sense, I've heard you loud and clear several times that you don't need to do M&A? But what would it take for Santander to be open to cross border M&A or M&A in general? What would you be looking for? Thank you.
Ana Botin: So you have heard me say, and I will repeat loud and clear, we're not interested in cross border M&A in Europe, we need further significant changes on the regulatory side for that to begin to be something we might look at. We are and as you've seen in the last months, we are much more active on the Digital and Payments side, we believe that we already have enough customers, enough scale, there's a lot of talk about scale, you need scale, you know, we have a 47% cost income, we are guiding to even lower than that in the next few years. Because we do have scale, we are the number one bank and I say, number one bank across Europe and the Americas in terms of number of customers, this is the scale that matters. Second, our revenues with you know, stable revenues in a year like 2020, I think that is remarkable. And so that is the scale we are aiming for. We have guided to single, sorry, mid single-digit revenue growth for the medium-term, even in 2021. And again, there's lots of uncertainty in the first few months. And that could affect our revenues in the first few months, especially on fees. But we feel confident that after what we've done in 2020, that we have a scale to drive revenues and we have the scale to drive with PagoNxt, with the Digital Consumer Bank to drive profitable growth. So again, not planning to M&A, cross border M&A, but rather looking at additional Digital opportunities. In terms of doubling the profit on the Digital Consumer Bank, that is going to be driven a lot by revenues. I, you know, 18 million active customers in Santander Consumer, Europe, 6 million new consumer customers every year. I encourage you to look at the flywheel and again, any questions please, very happy if you come back to us. But you know, this is very important because we have the data, we have the customers and now we have a go-to model which I don't think any of our peers have, which is the Openbank. So think of Openbank as giving us the knowhow to offer new banking products to customers that we don't need to invest to acquire because we're already acquiring them, by the way, profitably on the consumer side. This is crucially important. This is the virtuous circle that I described in the flywheel. And that's what gives us confidence that we can do that now, it's going to take a few years. So it's not going to be in '21 or '22. But three, four years down the road, what you're going to see is a change in the paradigm in terms of how we run our consumer business, and how that consumer business that is there it's real, it's over EUR1 billion in profits, I believe this year in 2020, lots of customers under Openbank tech stack, which is, you know, modern runs fully on the cloud. And it's not just about the customer experience, it's also about how we run the business in all the support functions we can expand to Holland, we can expand to Germany with very limited cost increases, actually, in all these support functions in a way that is very prudent and under control. So that's the reason we are again, not putting a date on this, but you should be seeing in the next few years. And finally on PagoNxt, and the acquisitions. So you know, it should all come together and, again, it will take a few years because there are several assets across Europe and the Americas. And the goal there again is to increase growth. And the way we're looking to do that is by value-added services in Payments, by delivering, for example, for SMEs a much better cross border experience for SMEs that trade. SMEs that trade at a high growth SMEs, we have 200,000 of those, we are already testing for example with Ebury, we have a great partnership with Ebury, we're able to offer services we were not offering before and vice versa, we are helping Ebury for example, to run the business in the way we run it and, in some areas, which is very important these days. So we think that it's a win-win you know, combination. And that's where we will be looking to integrate so we can grow faster.
Sergio Gamez Martinez: Thank you. Next question, please.
Operator: Thank you. Your next question comes from Daragh Quinn from KBW. Please go ahead.
Daragh Quinn: Hi, good morning. Thanks for taking my questions. It's Daragh from KBW. One question just on the capital targets and dividends, you know you generated capital this year and headed back towards your targets presumably even if we forecast your cash dividend, you would still be looking to generate capital organically. Could you just say you know maybe how that would change or not a right look forward to the level of capital you think you should be holding in the future? And then on the dividends you can You can just confirm that there won't be that you're not planning any scrip dividends in the future, because obviously, that has been one of the headwinds in the past TNAV per share growth? And on the business side of things maybe just if you could give a quick comment on the margin in two geographies, one in the UK, which has seen quite a strong improvement in margin and NII over the last couple of quarters as you've changed the pricing policy on the 123 accounts, if you could just comment on where things go from here and the outlook for 2021 in the UK and on the US, excluding the consumer business, it looks like it's just been very ongoing weak margin NII performance from the banking business. Maybe if you just provide a little bit of color of what's going on there and what's your outlook is? Thank you.
Ana Botin: So on capital, you know, our targets are to be between 11% and 12%. There is, we believe going forward, we're going to have more capital flexibility as you've sort of hinted that, we are planning to go back to the 40% to 50% on an underlying profit distribution - on an underlying basis as soon as we're allowed to do that. And the most important thing is that, even in a difficult year, we have made further progress in what we call the transformation of the model. You know, it happens at an operating level, which is what's driving the financial transformation, the operational goal, the One Santander new operating model is actually building for example, a common mobile app across Europe just built once and used across different countries. On a financial level, it means that, you know, we grow our earnings whilst growing capital, but we grow less our balance sheet and lending in proportion to that growth. And again that's what's going to allow us to generate more organic capital and better profitability. We are not, you know, this scrip is a I know we've gone back in 2020 to a scrip. And again, we need to keep a balance between Institutional Investors and also Retail and this Group was the only way we could get some dividend even though it was in shares to our Retail, the Board and Management intention, as we have said many times for the last six years is to go to 100% cash, this is what we're intending for 2021. And we will get news on what is the you know, recommendation from the ECB for European Banks in Q4, we'll be accruing a cash dividend this year. Hopefully we can return that to shareholders in some time in Q4 or Q1 of next year. In terms of the business, and how that's performing. I let Jose Antonio answer that, but I would say that both, you know, the more challenging region this year has been, without doubt, Europe, but UK and Spain, which has been the hardest hit from an economic point of view, and therefore we have our customers and therefore we have also reflected that. But the last couple of quarters have been quite encouraging. You know, there is a lot of uncertainty. But remember, we've seen, you know, lockdowns in Spain being very, very, I'd say, probably at the level of the more difficult ones right now. So we know what happens in a lockdown. We know what happens to activity to the top line. And both the UK and Spain have shown on a quarter-on-quarter basis, 5% to 6% increase in net interest income and doing much better also on fees. So and the transformation of the UK is not just about revenues. And by the way, UK has done really well in terms of mortgage growth, growing GBP4.5 billion in mortgages and actually more or less the same on business loans. So again, volumes have done well, margins are improving, and very importantly, very, very strong performance in cost. Again, not just the UK, Spain year-on-year is reducing costs by 10%. I want to stress that our focus in both the UK and Spain is going to be growth in revenues. But of course, better - through better experience for our customers. But the new operating model, which obviously is going to be also reducing our costs, we think of it as productivity. And I said I believe that we will be - our aim is to reduce EUR500 million of the EUR1 billion additional costs we announced in 2021. So in the US, you know SBNA as I said is part of the of the US business with consumer and net interest income in 2021 has gone up by 4%, total SBNA has gone up by 2%, Santander Consumer by 8%. So in spite of the lower rates doing well and net interest income, if you want to think about the Retail side separate from the Consumer side, even though increasingly, they're working together. I would also say that for the last few years, we've been more concentrated on regulatory remediation controls, setting up the structural basis for growth. So you should start seeing a different behavior of our business in the next couple of years. Again, we are very proud that in a year like this that US has been, I can say our best performing country, at least in terms of the bottom line and growth and profits. Do you want to add anything on the business of UK? I think I covered that.
Jose Antonio Alvarez: Yeah, it's done. Yeah.
Ana Botin: Okay, so thank you.
Sergio Gamez Martinez: And our last question, please.
Operator: Thank you. The next question comes from Fernando Gil de Santivanes from Barclays. Please go ahead.
Fernando Gil de Santivanes: Hi, hello, good morning. Thank you for taking my questions and thank you for the presentation. A quick question on Spain NII and the trends. I mean, how much are you accruing on TLTRO? And how much do you think this will affect going forward in 2021 and 2022?
Ana Botin: That is a question for Jose Antonio. So -
Jose Antonio Alvarez: So I don't have the numbers -
Ana Botin: So Jose Antonio is going to take - give it to our CFO. Thank you, Jose.
Jose Garcia Cantera: Thank you.
Ana Botin: And we have some others in the room. So maybe.
Jose Garcia Cantera: Yeah, we currently have a total of around EUR75 billion in TLTRO. And obviously, we believe that we can apply the new conditions described recently. And that will mean an increase in '21 relative to '20 of around EUR300 million, of which, EUR250 million will come in Spain, more or less.
Sergio Gamez Martinez: I think we are not taking - no more questions, limit really here already. So thanks very much, everyone. Thanks, Ana, Jose Antonio. And obviously the IR teams have to dispose off.
Ana Botin: Yes, sorry. It was a bit longer presentation. We usually get feedback more time for questions. We try to answer all the questions you've asked. That last one really was quite something I'm very happy to have Jose with us here. Thank you so much everybody and you know, we're very proud of our results. Again, any further questions, our Sergio and Jose are at your disposal and stay healthy and safe. Thank you.
Jose Antonio Alvarez: Thank you. Bye.